Operator: Good morning and welcome to Sirius SM. Third Quarter 2021, Financial and Operating Results Conference Call. Today's conference is being recorded. A question-and-answer session will be conducted following the presentation. [Operator Instructions]. At this time, I would like to turn the call over to Hooper Stevens, Senior Vice President, Investor Relations and Finance, please go ahead.
Hooper Stevens: Thank you. And good morning, everyone. Welcome to Sirius XM's Third Quarter 2021 Earnings Conference Call. Today, we will have prepared remarks from Jennifer Witz, our Chief Executive Officer, and Sean Sullivan, our Chief Financial Officer. Scott Greenstein, our President and Chief Content Officer, will join Jennifer and Sean to take your questions. I would like to remind everyone that certain statements made during the call might be forward-looking statements as the term is defined in the Private Securities Litigation Reform Act of 1995. These and all forward-looking statements are based upon management's current beliefs and expectations and necessarily depend upon assumptions, data, or methods that may be incorrect or imprecise.  Such forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially. For more information about those risks and uncertainties, please view Sirius XM's SEC filings in today's earnings release. We advise listeners to not rely unduly on forward-looking statements and disclaim any intent or obligation to update them. As we begin, I would like to advise our listeners that today's results will include discussions about both actual results and adjusted results. All discussions of adjusted operating results exclude the effects of stock-based compensation, and certain purchase price accounting adjustments. With that, I'll hand the call over to Jennifer.
Jennifer Witz: Thank you and good morning. There is SiriusXM third quarter was nothing less than phenomenal. 616,000 self-pay net subscriber additions is the highest quarterly figure we've ever recorded. It was powered by among other things, conversion stemming from the second quarter's record high trials stats and continued low churn of just 1.5% in the third quarter. we attained our full year subscriber guidance in just 9 months. Even after taking it up by 38% on our last earnings call to approximately 1.1 million net self-pay subscriber additions. Truly remarkable. Our financial performance was also remarkable. We delivered the highest revenue and highest adjusted EBITDA of any quarter in our history.  Our revenue was bolstered by steady subscription revenue growth, and outstanding growth of more than 30% in our Ad revenue. We invested across our business, particularly in marketing, content and digital product and capabilities, to strengthen our leadership position in audio, but still managed to grow adjusted EBITDA in line with revenue.  Today, once again, we are increasing all of our 2021 financial guidance and we're taking up our expectation for full-year subscriber growth modestly. Because of the well-known supply constraint hitting the auto industry, the new car SAAR went from nearly 17 million in the first half, to 13 million in the third quarter. Despite in used car prices and limited inventory, has caused volumes to fall there too, albeit to a lesser extent.  Our New Car trial stats fell 21% in the third quarter from the second quarter's record high. And Used Car trial stats fell 6% sequentially. This means that the fourth quarter we'll see more than 1 million fewer conversion opportunities than we saw in the third quarter. Meaningfully reducing but not eliminating our ability to grow our self-pay base in the near-term based on their public comments, most automakers and Industry forecasters believes that timeline to recover from supply chain related issues is sometime between mid-year 2022 and early 2023. Most expect recovery from these issues to be gradual next year, as opposed to a sharp bounce-back. With extremely healthy year-to-date subscriber performance and strong loyalty among our customers.  We are availing ourselves of the opportunity to increase the promotional pricing floor for some subscribers, in addition to a modest price increase on certain full-price plans. We believe that these steps to drive revenue are in the best interest of the business long term and reinforced the value of Sirius XM's premium subscription packages. But they also come at a slight cost in near-term subscriber growth. As we navigate the current environment and take those steps to drive revenue, we remain intensely focused on advancing the three key strategic growth objectives discussed on our last call. First, we intend to continue winning in car. Second, we are determined to substantially increase engagement of SiriusXM outside of the car, both with existing subscribers and new ones that may be digital only.  Third, we will continue to grow our digital audio advertising business, which is unmatched in North America, both in size and capabilities. And of course, advancing new strategic goals will be enabled by the market-leading content we create into it in close collaboration with renowned talent and brands. We are making outstanding progress on all of these fronts. And I'm particularly excited by the volume and quality of new content we've recently announced, which I will highlight shortly. In car, we're continuing to win with higher penetration and improved service with 360L. Our new car penetration was more than 81% in the third quarter, up from 78% a year prior.  As one example of how automakers remain committed to providing SiriusXM as an entertainment option for their customers, we recently signed a multi-year extension with Mercedes-Benz that includes plans for higher penetration rates. And remember, our service is getting even better with all of the new features, functionality, and content made possible by 360L. Significant 360L volumes are now rolling out across 9 automakers, including Audi, BMW, Ford, GM, Stellantis, and Volkswagen, and more are on the way. Just yesterday, we announced the new Range Rover will feature SiriusXM with 360 L as standard equipment, and that it will also be included in most upcoming Jaguar and Land Rover models.  This new platform more closely integrate the car experience with what our subscribers are doing on mobile. And it lets us provide additional content, personalized recommendations, and makes it easier to transact with SiriusXM. All of this is helpful in a competitive audio market, and in particular with the younger generations of car buyers. We continue to have a leading position in cars, both in terms of our best-in-class user experience and our significant share of year. And we are poised to benefit from the rebound in new car sales.  On the digital side, we're making substantial progress getting existing end vehicle subscribers to engage with SiriusXM outside of the car, which enhances the value proposition of and overall satisfaction with our service. This effort starts early while listeners are still in trial. Out of car listening has become a strong predictor of in-vehicle conversion and retention. Our subscribers total monthly listening to SiriusXM on average nearly doubled, when they also listen outside of the car.  And this listening is 100% incremental to what is being done in car. And as I mentioned this summer, our research shows that subscribers who say SiriusXM is their number 1 source for audio outside the car, has doubled in the past 3 years. We are also investing more than ever in digital subscriptions, not tied to a vehicle. The SXM app has been rebranded and updated, and we now have an extensive array of programming that is exclusive to the digital environments.  In late summer, we began allowing digital subscription purchases directly in the iOS and Android versions of the SXM apps, which makes it easier for consumers to subscribe to our packages. This will increase the deal of our digital trials to younger, more diverse audiences and makes for less friction when converting to a self-pay subscription. To support growth and awareness of our digital offering. In September, we launched our largest ever nationwide multi platform advertising campaigns.  Sirius XM house, which brings to life the diversity that lives on our platform. It shows how audio legends, emerging creators, and superstar athletes can all be heard on Sirius XM in unique and engaging formats. And how our content can be consumed anywhere on mobile phones, smart speakers, and other connected devices. The trade and consumer reception has been positive. And the campaign has increased app downloads along with lots of social engagement between artists and fans.  While our subscription business continued its steady growth, on the advertising sales front, we grew revenues 31% year-over-year in the third quarter, and we continue to build our Ad Platform in a variety of have ways. In the past 12 months alone, our scaled user base podcasting business, and ad monetization capabilities powered by best-in-class ad-tech and sales teams has generated $1.7 billion in revenue.  At SXM Media, our umbrella ad sales organization, we're using data to deliver superior solutions for advertisers with a reach of 150 million listeners across live radio, streaming, and podcasting, always keeping listener privacy and experience a top priority. We're operating from a position of strength and less reliant on third-party identifiers because we activate a rich first-party dataset. Since the launch of SXM Media, we have closed a number of significant advertising deals with major brands crossing all of our platforms and ad formats. Underpinning our strength in-car and out of car in both subscriptions and ad-supported audio, is of course, our content. It will always be the core of what we do. And during the third quarter, we demonstrated our focus and execution with new talent and distribution deals across the SiriusXM, Pandora, and Stitcher platforms.  On SiriusXM, we launched multiple new and limited time streaming channels based on iconic, the loved artist, established and emerging, such as the ones for Bon Jovi, Grateful Dead, Halsey, Metallica, and SoundCloud Radio. We celebrated Latinx and Hispanic heritage month recently across Sirius XM, and Pandora with new channels and initiatives highlighting artists like J. Balvin, Andre Calamaro, Becky G, and many more. We're seeing success in multi-platform deals, where we have established podcasters beginning to do live shows on SiriusXM.  For instance, the host of the last podcast on the left will be doing a weekly call-in show on SiriusXM's faction talk channel starting early next year. And also the other way, where we bring live broadcast shows to broader podcast distribution. For example, fans can hear directly from Tom Brady and Larry Fitzgerald immediately on Sirius XM each week, and then those individual conversations are later available as podcasts on multiple platforms, expanding our audience even wider.  While we will remain financially disciplined, we have been opportunistically bringing major podcasting talent to Sirius XM's platforms and securing exclusive ad sales rates. To name just a few, Crime junkie, the top ranked podcast for colored nerds, Story Time with Seth Rogen. Last podcast on the left, 99% Invisible, the Vellas and Rory and Mile. We recently led the Series B financing for audio up, an innovative podcast and audio entertainment studio. Under the agreement, Audio Up will create new original scripted podcast for our platform, and SiriusXM gets an exclusive first-look option for new concepts, as well as distribution and sales opportunities.  Whether growing and existing [Indiscernible] niche audience, expanding a powerhouse brand and audio, or supporting audio superstars throughout their careers, SiriusXM's platforms give creators opportunities to flourish in unmatched ways. And we continue to see curation, both human and AI augmented as the cornerstone of delivering unique experiences for our listeners, be that on SiriusXM, or Pandora, or across our podcasting business. A great example of this is our close collaboration with U2 to build selectable modes on Pandora centered around YouTube's first three albums.  The band members walk our listeners through a unique experience, sharing stories behind the making of each album, and guide our listeners to other classic songs from the artists who influenced each album. These modes were launched as a follow-up to YouTube 's full-time SiriusXM channel and show how we can leverage the strength of our multiple platforms to benefit artists and create great content. Truly a competitive differentiator. And I'm thrilled we're producing live content and experiences again with our small stage series, which features music and comedy performances in iconic intimate venues.  We've recently hosted Dave Matthews, Brandy Carlyle, Coldplay, Jay Coal, comedian John Molini, and we just announced upcoming shows at the Apollo with her and Alicia Keys. As SiriusXM now celebrates the 20th anniversary of our service launch, we can rightfully say that we have transformed the way Americans consume entertainment inside the vehicle. We are now hard at work, growing that reach outside of the vehicle, expanding our advertising business, and continuing to shape the future of audio with further innovation and investments in new kinds of content and authentic audio experiences.  I'm incredibly proud that our listeners love SiriusXM's offerings and of our Companies, very powerful and profitable business model. I couldn't be more pleased with our position and the long-term opportunities that sit in front of us. With that, I will turn it over to Sean for additional remarks.
Sean Sullivan : Thank you, Jennifer. And good morning, everyone. To quickly hit some financial highlights. Total revenue increased 9% to 2.2 billion, led by 31% growth in consolidated ad revenue. Adjusted EBITDA grew 9% to 719 million a new quarterly record. Diluted earnings per share were $0.08 versus $0.06 in Q3 2020. We generated $588 million of free cash flow during the third quarter, which included $208 million of insurance proceeds related to SXM 7. As of quarter end, we had received all 225 million available under the policy. We have also entered into contracts for SXM 9 and SXM 10, and have commenced early-stage CapEX spend for these satellites.  Turning to our segments in the SiriusXM's segment, revenue increased 5% to $1.66 billion, with ARPU growth of 5% to $14.84. Revenue grew in line with ARPU because the self-pay subscriber base increase of 1.5 million year-over-year was offset by a decline in paid trials versus last year's third quarter, given new trial structures at 2 major OEMS and a lower SAAR. Gross profit in the SiriusXM's segment grew 4% to $1 billion, resulting in a gross margin of 61%. In the Pandora segment, advertising revenue of $404 million increased 32% from last year and grew 28% compared to the same period in 2019. Pandora's ad revenue per 1000 hours was a stellar $109 up 29% from $84 in the third quarter last year.  Revenue growth in the Pandora segment was aided by our off-platform business centered around ads whiz, and ad wave and by the addition of Stitcher. Together, these contributed $89 million of revenue in the third quarter, and excluding Stitcher grew 41% year-over-year. As a reminder, Stitcher was acquired in October 2020. Ad bookings were again impressive in Q3 with Financial Services and retail leading as the largest categories. Insurance companies are targeting major lifestyle changes as people continue to relocate and change jobs. Retail momentum is tied to the economic reopening as people head back to stores and shopping malls, come back to live.  Entertainment is also showing strong growth given increased streaming competition and the expectation of a back-to-normal holiday season with big budget movie releases. Pandora monthly active users, and total ad supported listening hours were 53 million and 2.9 billion, respectively. And average monthly hours per ad supported user were 20.1 in the third quarter, up from 19.5 a year prior. Pandora ended the third quarter with 6.5 million total self-pay subscribers. Gross profit in the Pandora segment grew 22% over the third quarter of 2020, while gross margin was flat at 37%. Turning to capital allocation as announced earlier this week, we are increasing our quarterly dividend by 50%.  The 50% increase is driven by our continued confidence in the Company's strong operating results and cash generation. And this increase will better align our dividend yield with the broader market Through the First three quarters of 2021, we returned approximately $1.35 billion of capital to stockholders, comprised of $1.17 billion in stock repurchases and a $180 million in dividends. Over the summer, we took advantage of very favorable credit markets to issue 4.5 billion of new senior unsecured notes across 5, 7,and 10-year maturities at a weighted average interest rate of roughly 3.75%.  Proceeds were used to refinance existing notes, reducing future interest costs and extending maturities, as well as eliminating the outstanding balance on our revolving credit facility, which we also extended until August 2026. At quarter's end, our $1.75 billion revolver was completely undrawn and we had a $164 million of cash and equivalents on hand. In short, we have a very strong balance sheet, the one that provides significant flexibility to continue investing in the business, making opportunistic investments and acquisitions, and delivering cash to our stockholders.  To recap our new hire full-year guidance in this morning's release, we now expect self-pay net additions to exceed 1.1 million. Revenue is expected to be 8.65 billion, and adjusted EBITDA is now expected to be approximately 2.75 billion. Our free cash flow guidance has increased to more than $1.8 billion, which is driven by the higher adjusted EBITDA and satellite insurance recoveries, partially offset by spending on new satellites and programming investments. With that, we will open up to Q&A.
Operator: At this time, we'd like to open the call up for questions. I would like to remind everyone in order to ask a question, [Operator Instructions]. We will pause for just a moment to compile the Q&A roster. Your first question comes from Steven Cahall, from Wells Fargo.
Steven Cahall : Jennifer, maybe first I was wondering if you could elaborate on the comment you made about the promotional floor and the price increases. It sounds like with a little bit less on the New Car side, next year you're going to try to drive a revenue acceleration and I guess SAC costs should be down on that as well. So is it logical for us to include that you might have a one-off year for EBITDA or free cash flow growth next year based on that commentary?  And then Sean, at the beginning of the year, investors were a little bit concerned about the initial free cash flow guide and now you've raised a couple of times and it looks really strong. So maybe just a few comments on what's changed as you've moved through the year. Is this related to the satellite recovery? Is it just good operating performance? I would love any context on the free cash flow raises. Thanks very much.
Jennifer Witz: Sure. Thanks, Steven. I'll take your first question on promotional prices. So we're actually doing 2 things, in the fourth quarter, we're doing a rate increase on some of our full-price packages. And as you stated, we've done this over time and our base, as you know, has been very sticky and loyal. So we've been able to pass through these rate increases very effectively in the past. So that will be rolling through into next year. And on the promotional side, we just see this as an opportunity given the strong demand and retention of our base to focus on raising some of those rates as well.  We have a pretty robust packaging structure from lower price plans all the way up through our PVIP plan that we just launched a couple months ago. And we are -- we have always been very effective at managing demand across the various price points we have. And we did view this as an opportunity. I mean, it's somewhat of an inflationary environment, other services are raising rates. We see it as a positive environment to do this. And while it could have a slight -- a small impact on subscribers that we don't think it's material and again, we tend to optimize this very effectively.
Sean Sullivan : And Steve, on your free cash flow guide, I guess as we step back to the beginning of the year, there are a lot of uncertainty as we fast forward. Obviously, the first half of the year was incredibly strong in terms of our operating performance, especially in the Sirius XM side of the business. Operating performance on advertising, as we talk today, continues to be really positive in delivering strong operating performance. So we've been able to raise our EBITDA guide by almost a couple $100 million from where we started the year. So really strong operating performance. You look at our free cash flow conversion continues year-to-date basis to be very strong as well.  No question, the insurance recovery is bolstering or assisting a bit in terms of the raise, we are, as I said in the comments, we are making investments against Sirius XM 9 and 10 and continue to advance our content and programming initiatives. So all-in-all, I guess it's a mix of everything, and some unexpected occurrence is around the satellite. It's incredible performance across both subscription and advertising. So we're really pleased with where we're at and where we expect to finish the year.
Steven Cahall : Thanks very much.
Operator: We will take the next question from Ben Swinburne from Morgan Stanley.
Ben Swinburne : Hi, this Ken on for Ben. Thanks for taking the question. Turning continues to trend really nicely. Can you guy talk a little more about what you're seeing there. How much of the 3Q level was driven by vehicle-related churn? And then another one for Sean on capital return is, is $2 billion of capital returns between buybacks and dividends on an annual basis still the right general ballpark to think about going forward? Thanks, guys.
Jennifer Witz: Okay. So Cameron, first on turn. The third quarter was actually pretty close to the second quarter in terms of turn overall at 15, it did round down to 15. As we said in the past, I don't believe this is sustainable in the long term, but we're really pleased about where we are. There is some slight movements and shifts between the categories in Q3. On the non-pay side, and the vehicle, and the voluntary side, they ticked up a little bit. And vehicle-related came down, as you would expect, considering trial starts came down in the third quarter, but no material changes there.  But again, as we go into next year, spending levels hopefully continue to increase for a healthy consumers that there could be some reversion to a more normal level of non-pay churn. We are significantly down from where we had been 2 years ago on non-pay. Some of that I do think sustains just based on the operating improvements we've made. But as again, consumer spending levels go up, I would expect to see non-pay tick up a bit. And then of course, we're hopeful that over the course of next year, the automotive sales continue to be recovering, and then we would see some impact on vehicle-related turn there as well. On the voluntary side, car cancel demand has been really low.  There has been really strong satisfaction with the product, and I believe that has a lot to do with us having added streaming to our packages a couple of years ago and how effective that's been in this environment where consumers aren't in their cars as much as they had been before and they're listening much more in other locations. Sean, you're on.
Sean Sullivan : Yeah. And then on the capital returns front, as you know, we put out a release on Monday this week in connection with our announcement to increase the dividend by 50%. So again, just to reiterate the cap allocation philosophy, we're still very focused on growth. We're focused on investing both organically and inorganically to drive the business long term.  We will be guided by the stoical leverage, where we operate comfortably in the low-to-mid threes. So you should expect us to continue to operate on that basis. I think what I provided was an expanded release, an explanation on Monday that hopefully gives you some insights as we move forward prospectively in terms of what type of return to capital. Again, continue and expect to be very strong, both in terms of dividend and share repurchases.  But again, we want to maintain as much financial and operational flexibility with the balance sheet we have to take advantages of the opportunities as we see them. So I don't know that I would ground you in the 2 billion per se, but I think I've given you enough information relative to our performance and our guidance to manage the expectation going forward.
Ben Swinburne : Yeah. Great. Thank you both.
Operator: You will take the next question from Jessica Reif Ehrlich, from Bank of America Securities.
Jessica Reif Ehrlich : Thank you. I have a question for Scott. Scott, this is podcasting related, as if it seems to be the hottest topic these days. As much as in focus as it is, it still seems to be -- podcasting seems to be in the early stages. What would you consider a full content slate? How long do you think it takes to get there? And what, what do you think the ultimate margins are in this business?
Scott Greenstein : Okay, thanks. So a couple of things. One is there's certainly plenty of podcasting out there to have a full slate. The question is, is there enough out there to have a business? And that's what we're trying to build. So by doing something like Crime Junkie, we're going to look at being the leader in certain categories in podcasting, much the way we did with audio sports rights and news and some other things for audio and at satellite radio.  Some of those will have tougher economics and others will cause young and emerging podcasters to want to come to that vertical. And by doing that, I think we'll be able to have a solid business model with good blended margins on that, because as you know, right now, the podcasting economics is heavily skewed to the creator of based on the origin of how podcasting evolve. But we feel pretty good about that. What we feel great about is that podcasting is a great pool for us to find audio talent. Previously, you had terrestrial radio, and you had some blogger, and some YouTube stuff. Now, you have this rich pool of audio talent that we draw on.  Once they're in, as Jennifer mentioned, the podcasters can go upstream and be radio host as last podcast on the left will happen. Whether it's Megyn Kelly or Kevin Hart, they've been going to podcasting from the radio that way and all that. So I view it as an emerging business model that we have to pay attention to the margins. But at the same time, our unique three-pronged approach between Sirius, Pandora, and Stitcher to both monetize market and create and figure out how that audio content works. In that business model, I feel a lot more confident in than I would be today in just an isolated podcast model.
Jennifer Witz: I think I'd just add two things to that, Scott. The fact that either we are offering broad distribution of podcast to talent who won it, like with Crime Junkie, it gives us an opportunity to perhaps more effectively monetize than we would have if we were trying to keep something exclusive. And of course, we'll consider those opportunities, but that certainly helps in terms of the monetization. And then, we look at the ad business internally increasingly together, right? The SiriusXM broadcast, ad business, the Pandora.  Traditionally music station focused advertising and then in podcasting and as the sales team has the capabilities to now sell across all of these formats and genres and advertisers. And there's a lot of demand out there for audio advertising right now, which is a fantastic tailwind for all of us that are participating. And I think we had the best set of capabilities to be able to bring advertisers these solutions across so many different formats and [Indiscernible] really positions us well, I think to better and more effectively monetize and the margins on each of those are a little different. But overall, we feel really good about where that's heading.
Operator: We will take our next question from Jason Bazinet from Citi.
Jason Bazinet : So I just have a quick question. You guys have put up phenomenal numbers this year. Your stock has not reacted to those. And I guess my hypothesis is a lot of investors on the buy-side are playing the LSXMA Series spread by going long LSXMA and hedging it by shorting your stock. And it would seem that if that were true, the buyback, you should be using every dollar you can for buybacks and yet you chose right at that moment to increase your dividend by 50%. And so my question is, do you disagree that something is going on with your share price that has to do with Liberty? Is that the right interpretation?
Jennifer Witz: I will start and then Sean maybe can jump in. I believe that it certainly we'd like to see the stock react more positively to the fantastic results that we've had this year. And I'm sure there's some truth in what you are saying. We believe there is opportunity in the stock, which is why we're maintaining a healthy buyback as part of our capital returns process. And I think the dividend was just an acknowledgment that we were generally below median for SMP companies. So it puts us in a -- right in the mix where other companies are. But we still have a lot of flexibility to buy back our stock and I think there is opportunity to do so.
Sean Sullivan : Yeah. Jason, it's a fair question. Again, we're very confident in the long-term opportunity here. We are deploying significant capital. As Jennifer said, I think bringing the dividend more in line with sector comparable, I think given the shareholder base, the non-liberty shareholder base, I think what we're doing in terms of capital allocation puts us more in line in terms of their expectation. I think it opens us up to more assets under management that are investable against Sirius XM and the stock. So again, it's positive results.  We've got a long-term focus. Of course, we're going to continue to buyback at these levels given our point-of-view on what we think the long-term intrinsic value is of the stock. So I'm not going to comment on the overhang or how investors are playing the LSXM versus Sirius, but we're obviously focused on continuing to deliver just fabulous operating results, deploying capital appropriately, and we think we'll be rewarded long term.
Jason Bazinet : Okay. Can I just ask one pedantic follow-up. When we're calculating the 80% threshold for the tax sharing agreement to kick in, what do we use to fit denominators, is it the basic shares or diluted?
Sean Sullivan : I believe it's the diluted shares, Jason.
Jason Bazinet : Okay. Thank you.
Operator: We will take our next question from David Joyce from Barclays.
David Joyce: Thank you. The sales and marketing expenses were elevated in the quarter. I think you called out it was more to drive the podcasting listenership. But what should we expect from that investment going forward? At least through the next year when you're going to be challenged on the gross adds from the new cars. Will you be focusing more marketing on the enormous and installed-base of cars in the secondary market, as well as podcasting? I'm just wondering how we should think about that cost down going forward. Thanks.
Jennifer Witz: There is really a couple of big portions of sales and marketing. There's all of the direct marketing associated with the trial starts that's really directly tied to new and used car trial starts. And to the extent that new car trial starts are lower, like we saw in the third quarter, that will -- that expense comes down. But we've actually taken the opportunity this year to invest in more media, whether it's performance-based media or like with the Sirius XM house campaign to drive awareness and drive through to trials on the digital side of the business.  So there is really have 2 large components to sales and marketing that you'll see fluctuate based on where we were with trials are at any given time period and how we're investing on overall media. We do a lot of performance media also on the Pandora side. We've got pretty sophisticated modeling there that helps us decide when and how to invest up to the right threshold to bring listeners onto the platform. And that's pretty steady. Where you'll see fluctuations is more on the SiriusXM digital side as we try to bring more trials onto the platform for that -- for those packages.
David Joyce: Great. Thanks. And could you please update us on the effective in this of bringing in the Used Car gross ads?
Jennifer Witz: So the dynamics on the Used Cars side have been impacted, as I said in my comments in part by what's going on in the overall industry. Used car sales prices are at an all-time high. So the trial starts were down slightly in Q3 versus Q2, but clearly they don't have the same issues from a supply standpoint as on the new car side in terms of chip in on other parts. So we think that the used car market will continue to be strong going into next year.  And our fundamentals certainly help there in terms of just organically the pen rate continues to grow as more cars the fleet turns over, and we've got very robust program than the trial start side to make sure that as the vehicles gets sold, that we get consumers on trials. We've got field teams ensuring that those radios are in fact on. So when the consumer or the car buyer gets into the car, they could easily listen to SiriusXM. And we have very robust marketing programs to convert them through. So I -- look it depends on where we end up on the New Car side next year, but I think we could see a pretty strong year on the used car side.
Jason Bazinet : Okay. Thank you.
Operator: We will take our next and final question from James Ratcliffe from Evercore ISI.
James Ratcliffe: Morning. Thanks for taking the question. Two, if I could. First of all, just conceptually, how do consumers think about their subscription cost in context of their car payment? And if we have higher prices and the like, if car payments are going up, is that conceptually 1 bucket of cost that could risk crowding out of satellite radio subscription for one? And just secondly on the auto production and chip shortage side, are there situations where the satellite radio or the portion that you're contributing is the bottleneck or are you still good on that front? Thanks.
Jennifer Witz: We've done the subscription price relative to the car payment. We haven't really seen any tie between those two things. If anything, I think consumers are probably looking at their overall subscriptions than what they're paying for different types of services. But I don't believe it's tied to the car payment necessarily. And of course, again, we've had a really strong history of managing rate increases. And I believe we will continue to see that given to the robust nature of our subscription packages and the real loyalty of our subscriber base, and that goes to clearly the breath of content that we have. Exclusive, non-exclusive is really powerful, and unmatched bundle that we've been able to offer subscribers. And then the second part of your question was -- go, Brian (ph).
James Ratcliffe: Just in terms of production chip shortages are situations where the sale rate is the ballmark?
Jennifer Witz: Yeah. So we really haven't had any material issues. We are working really closely, as you might expect, across the supply chain with our chip manufacturers, with the Tier 1s and the OEMS. And the teams internally on the engineering side and the OEM partnerships side are doing an amazing job making sure that we can fulfill the demand through the supply chain.  And it just -- it takes a lot of coordination, but the team has done, again, a terrific job managing that. And I haven't seen any issues that concerned me going into the rest of this year, and going into next year at this point. And it's just I mean, as automakers obviously managing a lot of different parts, supplies and were just one piece of the puzzle, but we haven't created or had any challenges there that would concern me.
James Ratcliffe: Okay. Thank you.
Jason Bazinet : Thank you, James. Thank you, everyone for participating in today's call, and we'll speak to you in the coming weeks. Take care.